Operator: Good afternoon, ladies and gentlemen, and welcome to Zumiez Inc. Fourth Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants towards the end of this conference. Before we begin, we would like to remind everyone of the company's Safe Harbor language. Today's conference call includes comments concerning Zumiez Inc. business outlook and contains forward-looking statements. These forward-looking statements and all other statements made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Additional information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Zumiez Inc.'s filings with the SEC. At this time, I would like to turn the call over to Rick Brooks, Chief Executive Officer. Mr. Brooks, hello, and thank you everyone for joining us on today's call.
Rick Brooks: With me today is Chris Work, our Chief Financial Officer. I'll begin with a few remarks about fourth quarter performance before touching on our strategic priorities for 2025. Chris will then take you through the financials and our outlook for the year ahead. After that, we'll open the call to your questions. Our fourth quarter results demonstrate meaningful progress on our efforts to improve profitability despite an unexpected lull in demand during the middle of the holiday season. Comparable sales increased 5.9%, marking our third consecutive quarter of positive comparable sales growth. Total sales were $279 million, which was $7 million below the midpoint of our initial guidance range and $2 million above the high end of our revised guidance provided at the beginning of January. The overall shortfall to our original guidance was primarily driven by the lower than planned sales in mid to late December in our North America business. What is particularly encouraging about our fourth quarter performance was substantial improvement in operating profitability. Driven by significant gross margin expansion and meaningful reduction, operating profit more than doubled to $20 million and EPS increased 95% to $0.78 after adjusting prior numbers for the $41.1 million one-time goodwill impairment charge worth $2.13. Improvement reflects the successful execution of our strategic initiatives throughout 2024, which has positioned us to better navigate the challenging retail environment while delivering enhanced value for our shareholders. Looking at performance by category, we continue to see strength in our core businesses. Our men's category maintained its positive momentum through year-end, delivering growth for the fifth consecutive quarter. Our women's category, which has shown tremendous momentum since turning positive in Q1, continued to post strong results, becoming our largest growth category for the quarter. Footwear also positively contributed for the third quarter in a row. While hard goods faced some pressure due to continued downturn in skate hard goods, this was partially offset by gains in our snow category. As we reflect on fiscal 2024, I'm pleased with the progress we've made recapturing a portion of the sales and earnings we've given back over the preceding couple of years and returning to positive operating profitability. That said, there's still much work to be done to realize the growth, profitability, and cash flows that our business can generate. Following strategies. As we look ahead to 2025, we will continue to focus on accelerating global top-line expansion through strategic investments to ensure we are winning with consumers. These strategies continue to focus on three key areas: injecting assortments with newness, we successfully launched over 120 new brands in 2024, on the launch of 150 brands in 2023. These new brands constitute a larger portion of our sales this year compared to last year, demonstrating that they resonate with our customers. We recognize that our customers rely on Zumiez Inc. to discover new and unique products and we remain committed to continuing to fulfill that expectation. Private label expansion. Our private label businesses continue to grow, reaching nearly 28% of total sales for the year, up from 23% in 2023 and compared to 11% just five years ago. Growth demonstrates our ability to meet both trend and value-conscious consumers' needs. And customer engagement, we maintained our commitment to delivering best-in-class service both in stores and online, enhancing our customer relationships through continued investments in training and technology. North America, these strategies have been the backbone of our improvement with comparable sales for the year up 6.2%. Beyond sales, we've also made meaningful progress improving our cost structure. In 2024, we closed 31 underperforming locations and implemented comprehensive operational efficiencies across our business. These include optimizing store labor through targeted staffing model adjustments, executing structural changes to reduce shipping and logistics costs, and significantly reducing discount selling compared to previously elevated levels, and driving overall expense management practices aimed at maximizing efficiency. These cost management issues are part of our broader effort to streamline operations and improve margin performance. With a more difficult backdrop, Europe sales were challenging in fiscal 2024 with comparable sales down 4.1% for the year. However, sales trends improved each quarter throughout the year with the fourth quarter of 2024 turning positive at 3.7%. We knew the top line would be a challenge. As we discussed, our focus in Europe is returning to full price, full margin sales and we're able to improve product margins by over 100 basis points from the prior year. Improved product margins and tight expense controls resulted in a smaller operating loss in 2024 despite the decline in sales. While there's still much hard work ahead, the improving sales trends, product margins, and operating results indicate that we are making progress. While consumer purchasing patterns continue to be volatile and the macroeconomic environment uncertain, our path forward is clear. Stay the course and focus on bringing unique and trend-right product to the customer with engagement initiatives that fueled our positive comparable sales growth and enhanced profitability in 2024. Our strong balance sheet and robust cash position provide us with the flexibility to navigate near-term challenges while continuing to invest in long-term growth opportunities. We've demonstrated our ability to navigate challenging cycles and emerge stronger throughout our 47-year history. I'm confident that we are on the right course to repeat this accomplishment. Before I turn the call over to Chris, I want to thank our entire team for their dedication and hard work throughout 2024. Commitment to our culture and our customers has been instrumental in the progress we've made this year and will continue to be the foundation of our success going forward. With that, I'll turn the call to Chris to discuss the financials.
Chris Work: Thanks, Rick, and good afternoon, everyone. I'm gonna start with a review of our fourth quarter and full year 2024 results. Then provide an update on our first quarter date sales trends before providing some perspective on the full year. Net sales for the fourth quarter of 2024, which was a 13-week period, decreased 0.9% to $279.2 million compared to $281.8 million in the fourth quarter of 2023, which was a 14-week period. The decrease in total sales was driven by the incremental 53rd week in the prior year with approximately $12 million. Comparable sales for the 13-week period ended February 1, 2025, compared to the same 13-week period in the prior year increased 5.9%. Comparable sales exclude the impact of new stores, closed stores, and the 53rd week in the prior year and are generally a better measure of operating performance. From a regional perspective, comparing the 13-week period in the current year to the 14-week period in the prior year, North America net sales were $214.2 million, an increase of 0.8% from 2023. Other international net sales, which consists of Europe and Australia, were $65 million, down 6.4% from last year. Excluding the impact of foreign currency translation, North America net sales increased 1.2%, and other international net sales decreased 2.7% compared with 2023. Comparable sales for North America were up 7.2%, marking the fourth consecutive quarter of comparable sales growth. Our other international comparable sales were up 1.9% for the quarter. From a category perspective, women's was our largest positive comping category, followed by men's and then footwear. Accessories was our largest negative comping category, followed by hard goods. The consolidated increase in comparable sales was driven by an increase in dollars per transaction, partially offset by a decrease in transactions. Dollars per transaction were up for the quarter, driven by an increase in average unit retail, partially offset by a decrease in units per transaction. Fourth quarter gross profit was $101.0 million compared to $96.7 million in the fourth quarter of last year. Gross margin was 36.2% of sales for the quarter compared to 34.3% in the fourth quarter of 2023. The 190 basis point increase in gross margin was primarily driven by 160 basis points of improvement in product margin, and 30 basis points of benefit in web shipping cost. SG&A expense in the fourth quarter of 2024 was $80.9 million or 29% of net sales compared with $129.4 million or 45.9% of net sales in 2023, which includes a $41.1 million non-cash goodwill impairment charge resulting from our decision to slow store growth in Europe and focus on profitability. The 1,690 basis point decrease in SG&A expenses as a percent of net sales was driven by the following: 1,470 basis point benefit driven primarily by the impact of goodwill impairment charges booked in 2023 related to Europe, a 70 basis point of leverage in non-wage store operating costs, 70 basis points of leverage in other corporate costs, and a 40 basis point benefit related to store wages, and a 40 basis point benefit related to incentive compensation. Operating income in the fourth quarter was $20.1 million or 7.2% of net sales compared to the prior year operating loss of $32.8 million or 11.6% of net sales inclusive of the $41.1 million goodwill impairment charge. Net income for the fourth quarter was $14.8 million or $0.78 per share. In the year-ago period, we reported a net loss of $33.5 million or $1.73 per share including the goodwill impairment charge, which on an after-tax basis was $41.1 million or $2.13 per share. Our effective tax rate for the current quarter was 26.1%. A year ago, we recorded a tax expense of $2.2 million or 7%, despite our pre-tax operating loss due to the distribution of pre-tax income across our different tax jurisdictions. Looking at our full year results, net sales for the 52 weeks for fiscal 2024 were $889.2 million, an increase of 1.6% from $875.5 million for the 53 weeks of fiscal 2023. Despite one less week in 2024, and closures of 33 stores this past year. The 53rd week in 2023 was worth roughly $12 million while the impact of closed stores was worth approximately $9 million. Comparable sales for the full year were up 4%. The consolidated increase in comparable sales was driven by an increase in dollars per transaction, partially offset by a decrease in transactions. Dollars per transaction were up for the year, driven by an increase in average unit retail and an increase in units per transaction. From a category perspective, for the full year, men's was our largest positive comping category, followed by women's and then footwear. Accessories was our largest negative comping category, followed by hard goods. From a regional perspective, North American net sales were $720 million, an increase of 3.2% from 2023. Other international net sales were $169.2 million, down 4.8% from last year. Excluding the impact of foreign currency translation, North America net sales increased 3.4% and other international net sales decreased 3.8% compared with 2023. Comparable sales for North America were up 6.2% and comparable sales for other international were down 4.8% for the full year. 2024 gross margin was 34.1%, compared with 32.1% in 2023. The 200 basis point increase was driven by 80 basis points of improvement in web shipping costs, 70 basis points of improvement in product margin, 50 basis points of leverage in store occupancy costs, and 30 basis of improvement in distribution and logistics costs. These benefits were partially offset by 20 basis points of negative impact related to increased inventory shrinkage. SG&A expense was $301.1 million or 33.9% of net sales for fiscal 2024, compared to $345.7 million or 39.5% of net sales in 2023. The 560 basis point decrease as a percentage in sales was driven by 480 basis points due to the non-cash goodwill impairment charge in 2023, 30 basis points improvement in store wages, 30 basis points of leverage on non-store wage store operating costs, and 30 basis points of leverage on other corporate costs. These benefits were partially offset by a 20 basis point increase in incentive compensation. Operating income in 2024 was $2 million or 0.2% of net sales, compared to an operating loss of $64.8 million or 7.4% of net sales in the prior year inclusive of the $41.1 million goodwill impairment charge. The fiscal 2024 net loss was $1.7 million or $0.09 per share, compared to a net loss of $62.6 million or $3.25 per share in the prior year including the non-cash goodwill impairment charge booked in the fourth quarter of 2023 worth $41.1 million or $2.13 per share. Turning to the balance sheet. The business ended the year in a strong financial position. We had cash and current marketable securities of $147.6 million as of February 1, 2025, compared to $171.6 million as of February 3, 2024. The decrease in cash and current marketable securities over the last year was driven primarily by common stock repurchases of $25.2 million and capital expenditures of $15 million, partially offset by cash flow from operations of $20.7 million. As of February 1, 2025, we have no debt on the balance sheet and continue to maintain our full unused credit facility. On March 12, the board of directors approved the repurchase of up to $25 million of common stock. The repurchase program is expected to continue through March 31, 2026, unless the time period is extended or shortened by our board of directors. We ended the year with $146.6 million in inventory, up $17.8 million or 13.8% compared with $128.8 million last year, driven primarily by our North America business. On a constant currency basis, our inventory levels were up 15.6% from last year. As we discussed in our third quarter earnings call, we pulled inventory receipts forward in the fourth quarter in anticipation of the tariffs planned to go into effect late in the quarter. This pull forward accounts for approximately $7.4 million of the inventory increase at year-end. Beyond that amount, our inventory is still higher than we would have anticipated primarily due to the sales shortfall leading into the Christmas holiday. We are carrying more than we would prefer, we believe in the quality of our inventory on hand, and are planning product margin increases in fiscal 2025. Now to our first quarter to date results. Total sales for the four-week period ended March 1, 2025, increased 1.7% compared to the four-week period ended March 2, 2024. Our comparable sales increased 4.3% over that same period. From a regional perspective, North American net sales for the four-week period ended March 1, 2025, increased 3.9% over the four-week period ended March 2, 2024, while our other international business decreased 6.5%. Excluding the impact of foreign currency translation, North America net sales increased 4.2% and other international net sales decreased 3.1% compared with 2024. Comparable sales for North America increased 6.4% for the four-week period ended March 1, 2025, compared to the same weeks in the prior year, while comparable sales for other international business decreased 3.7%. From a category perspective, women's was our largest positive comping category, followed by men's and then footwear. Hard goods was our largest negative comping category, followed by accessories. The consolidated increase in comparable sales was driven by an increase in dollars per transaction, while comparable transactions were relatively flat. Dollars per transaction were up for the quarter driven by an increase in average unit retail, with units per transaction flat to the prior year. With respect to our outlook for the first quarter of fiscal 2025, I want to remind everyone that formulating our guidance involves some inherent uncertainty and complexity in estimating sales, product margin, and earnings growth given the variety of internal and external factors that impact our business. As our comparable sales results in early fiscal 2025 are maintaining positive momentum, we are cautiously optimistic that we'll continue to deliver top and bottom line improvement year over year in the first quarter. For the first quarter, we are anticipating total sales to be between $179 million and $183 million for the 13 weeks ended May 3, 2025, representing growth of 1% to 3%. Comparable sales for the same period are expected to be between 3% and 5%. For the first quarter, we are expecting product margin to be down slightly to flat from the first quarter of last year. Consolidated operating loss for the first quarter is expected to be between negative $16.5 million and negative $18.5 million and we anticipate loss per share will be between negative $0.72 and negative $0.82 compared with a loss of negative $0.86 in the prior year. This EPS guidance reflects a tax benefit for which based upon the estimated distribution of earnings across our entities. As we consider the outlook for the full fiscal year 2025, there remains uncertainty and volatility in the macro environment. Given this, we will refrain from giving specific annual financial guidance but do want to add some context around how we currently believe the business will trend throughout the year. After two difficult years of sales declines, fiscal 2024 represented a stabilizing year. With positive comparable sales growth each quarter in North America, our international business turning positive in the fourth quarter. While there is uncertainty in the macro environment that requires caution, we believe that we will grow total sales in fiscal 2025 despite the closure of 33 stores in fiscal 2024, and expected 20 stores in 2025. These closures will have a negative impact on growth in 2025 of approximately $14.7 million. We grew product margin by 70 basis points in 2024. We believe that sustained strength of our higher margin private label business combined with continued focus on full price selling will allow us to grow product margins again in fiscal 2025. In addition to product margin benefits, based upon cost-saving efforts and store closures, we anticipate further leverage and other expense items including gross margin. Such as occupancy, distribution, and logistics. We believe that we can hold our fiscal 2025 SG&A cost relatively flat as a percentage of sales. With our fiscal 2024 results. We believe that we can accomplish this through continued focus on expense management, and driving efficiencies while also continuing to invest in important long-term strategic initiatives. With the previously mentioned assumptions, we believe we will increase operating margins in fiscal 2025. While effective tax rates are likely to fluctuate significantly by quarter, we anticipate that our full year effective tax rate will be roughly 60% to 70% in fiscal 2025. We are planning to open nine new stores during the year, including two in Europe, and one store in Australia. This compares to seven stores in 2024, and 19 stores in 2023. We expect our capital expenditures for 2025 to be between $14 million and $16 million compared to $15 million in 2024, and $20.4 million in 2023. We expect that depreciation and amortization excluding non-cash lease expense, will be approximately $21 million, down from $22 million in the prior year. And we are currently projecting our diluted share count for the full year to be approximately 19.1 million shares. This share count does not include the impact of any future share repurchases, including the repurchase agreement announced today.
Operator: Star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. Our first question comes from the line of Mitch Kummetz with Seaport. Your line is open. Please go ahead.
Mitch Kummetz: Yes. Thanks for taking my questions. I guess just starting off, just big picture. Can you just kind of walk us through what you're seeing in terms of the impact of tariffs, you know, how, you know, how is that impacting your private label business? Where you have direct exposure? And what are you seeing kind of across the brands and how they might be dealing with it from a pricing standpoint where you've got, I guess, you know, more indirect exposure? Just kind of big picture thoughts there.
Chris Work: Yeah. Thanks, Mitch. I'll go ahead and try to answer this and let Rick jump in. I mean, obviously, like many retailers, we've been trying to stay up to date on all the tariff information that's come out since last November. You know, our current sourcing strategy is largely to work with our brands. That represents just over 70% of our business, and we're, you know, in high twenties as a percent of the brands that we control within our own private label grouping of brands. So, you know, we're trying to be as diversified as possible. As we exited 2024, our North America receipts were more concentrated than we had hoped with China. They're right around 50%. I kind of harken back to when we went through this before in the last administration. We were around 60% in 2018. We moved to about 45% in 2019, and then we got to 40% coming from China in 2020. Ultimately, this kind of landed in the high thirties. I think over the last four years, since the first term of President Trump, you know, we saw our private label grow a little bit in China just based on the speed and ability to really move quickly and the functionality of what they were able to do in China. That being said, we've already started the process of moving production and diversifying more into 2025. We expect that that rate of roughly 50% of our entire goods base coming from China in North America to come down pretty meaningfully. As we move through 2025. As we indicated on the call, with inventory, we also pulled some forward ahead of the tariffs so we feel good about where we are in our media receipts through spring. And, you know, we've got some more work to do here. But as you know, this is a complex topic because there are other locations that are getting tariffs as well. And so I think the smartest thing we can do over the long term is just diversify as much as possible so that we're able to move quickly should this continue into the future.
Mitch Kummetz: That's helpful. Thanks. And then just as a follow-up question, Chris, I know you're not giving specific guidance for 2025, but you talked a little bit about leverage. I'm curious, you know, what are your leverage points? On, like, EBITDA versus SG&A? And then maybe could you also address, you know, what the flow-through rate might look like assuming you could, you know, top better than what those leverage points are.
Chris Work: Sure. Yeah. I mean, I think, you know, as we look at the entire year, what we did try to push is that we think we'll grow sales. And we'll grow operating profit. I know that's not a great detail in guidance, but that's what we're pushing despite the fact that, you know, we've closed a fair amount of stores and the reason we feel comfortable with doing that is really looking at the trend lines of business. And certainly, there's a lot of uncertainty out there. I want to make sure I preface any answer here with that because as we know, uncertainty creates a little fear. And fear can have the consumer pull back. So we've considered some of that, but obviously, it's hard to imagine everything with a crystal ball. From a leverage perspective, what we did say is we think that, you know, we've got good opportunity within gross margin. To continue to grow product margin and leverage items like occupancy and some of our distribution costs. I think we've shown across 2024 some good movement there, and we think we can continue to manage that into 2025. On the SG&A front, we talked about really probably SG&A growing more in line with sales and that we are, you know, saying growing sales. We're not talking about huge amounts at this point. But to your point, you're absolutely right. If we can exceed a low sales growth number, we would expect to see good flow-through. And the reason we think we'll see good flow-through is I think we've done a good job over our last two years of challenge, 2022, 2023. And now 2024 being a little more of a stabilization year. Of really trying to manage some of the SG&A expenses around store labor. Being our largest cost. Some of the other store costs and then obviously corporate SG&A as well. I'm not gonna, you know, say this has been easy. We all know there's been inflation in this area, wage inflation, as well as other things that have had a higher cost. But we've tried to be smart about how we manage hours in stores, how we manage what we're trying to do, and the strategic initiatives of the business. With the closure of stores, we've had to make some difficult decisions in areas that do have a, I would say, sort of a fixed it semi-fixed amount with stores when you think about things like our field team that oversees stores, some of the areas of the corporate office, that are more variable with the number of stores, we've had to make some difficult decisions to cut back there too, which has helped us manage SG&A. So a lot in the answer there Mitch, but I think overall, you know, if we can grow sales, beyond what we're planning, we would expect to see a high level of flow-through. By high level of flow-through, I would probably say 30% plus.
Mitch Kummetz: Let me just real quick follow-up to that. Can you grow operating margin on like, a low single-digit comp, like, a fairly low single-digit comp?
Chris Work: Yes.
Mitch Kummetz: Okay. Thanks, and good luck.
Operator: Thank you. I would now like to hand the conference back over to Rick Brooks for any further remarks.
Rick Brooks: Alright. Thank you very much. As always, we look forward to hearing from you and your questions. So we look forward to reporting you on first quarter results later this year. Thanks, everybody.
Operator: This does conclude today's conference call. Thank you for participating, and you may all disconnect. Everyone, have a great day.